Operator: Good afternoon, ladies and gentlemen, thank you for standing by, and welcome to the Inuvo, Inc., Third Quarter 2012 Conference call. [Operator Instructions]
 This conference is being recorded today, November 8, 2012. I would now like to turn the conference over to Alan Sheinwald of Alliance Advisors. Please go ahead. 
Alan Sheinwald: Thank you, operator. Thank you, and good afternoon to everyone. I’d like to thank you all for joining us today for the Inuvo, Inc.’s Third Quarter 2012 Results Conference call. Mr. Peter Corrao, Chief Executive Officer; and Mr. Wally Ruiz, Chief Financial Officer of Inuvo will be your presenters on the call.
 Before we begin, I’m going to review the company’s Safe Harbor statement. Statements in this conference call that are not descriptions of historical facts are forward-looking statements relating to future events, and as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995.
 These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project, and similar expressions as they relate to Inuvo, Inc., are such a forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties which may cause actual results to differ from those anticipated by Inuvo at this time.
 In addition, other risks are more fully described in Inuvo’s public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov.
 With that, I’d now like to congratulate management on a strong quarter and introduce Mr. Peter Corrao, CEO of Inuvo. Peter, the floor is yours. 
Peter Corrao: Thanks, Alan, and thanks, everyone, for joining us this afternoon for the Third Quarter 2012 Inuvo Conference Call.
 The management is pleased with both the operation and financial achievements that the company made during the third quarter and fiscal 2012. Sequential revenues increased 20% to $15.5 million, when compared to the second quarter of 2012, while our adjusted EBITDA topped $1 million, an increase of more than 500% when compared to the same time period.
 We focused our strategic plan on increasing Tier 1 market search queries from our ALOT users, restructuring our ValidClick business to focus on smaller publishers, and increasing revenue from our owned and operated properties, including Local.alot and Yellowise. In doing so, we were able to achieve higher revenues along with increased adjusted EBITDA and consequentially improve our overall financial results.
 I’d like to mention that while hurricane Sandy has affected many of our employees personal lives, I want to assure our shareholders that while our New York City office was closed for a week during this storm, the storm does not had a material impact on our business results.
 During the third quarter, search queries increased in Tier 1 markets over Q2 results, as we added new Tier 1 users to the markets while continuing our marketing efforts in new countries. We plan to continue to increase our focus on more profitable and higher monetizing Tier 1 search queries with ALOT, and further we plan to expand our third-party Publisher Network by adding new ValidClick publishers. And importantly, we have launched additional enhancements to our BargainMatch platform, all of which we will expect will increase our revenues in Q4 of 2012.
 Now let me give you a brief update regarding Inuvo’s 2 business segments. The company’s high gross margin Software Search segment continues to grow, delivering revenue of $7.9 million for the third quarter of 2012, compared to $7.4 million of Q2 2012. The increase in our top line growth is primarily attributed to the increase in Tier 1 search queries from the user base of our ALOT Appbar, which is a result of our targeted Tier 1 users, a higher revenue sharing rate from our monetizing partner due to our hitting higher revenue targets with them, and we continue to have a market presence in 26 countries and 8 various languages. And we were really pleased with the solid performance that this business has given us throughout Q3.
 Now the development of our Publisher Network which comprises the other half of our business is also expanding. We have over 1,500 publishers and we expect to continue to grow our third-party publisher base throughout Q4. Additionally, our Publisher Network has experienced growth in our Local.alot and Yellowise owned and operated sites, and we expect our Publisher Network to generate quarter-over-quarter revenue growth as well for Q4 2012.
 In addition to the increased revenue growth that the company experienced, we also maintained strict controls over our operating costs in an effort to improve our bottom line. Because of this, we remain ahead of previous expense reduction projections as we moved towards overall profitability. We’re currently tracking $900,000 ahead of our anticipated annualized operating savings of $2.9 million from the expense reductions expected after our Vertro merger.
 So to summarize our quarter and our outlook. Revenue growth. In our Publisher Network segment, we had a revenue growth rate of 40% in the third quarter of 2012 compared to the second quarter of 2012. Our Software Search segment had a revenue growth rate of 6% for the third quarter of 2012 compared to the second quarter of 2012. In September of 2012, we attained revenue growth leading to a higher revenue share from our advertising partner for our Publisher Network segment. And in July of 2012, for the first time in over a year, revenue growth in our Software Search Segment reached a level that yielded a higher revenue share from our advertising partner in that business.
 We expect these higher revenue share rates to continue in Q4 2012 and the higher percentage revenue share with each advertising partner is substantial and meaningful component of our revenue growth. Our Yellowise and Local.alot owned and operated sites are contributing meaningful incremental revenues on a quarter-by-quarter basis and we expect their growth to continue. In addition, we expect to see meaningful revenue coming from our BargainMatch.com product.
 Now on cost containment. With the Vertro merger, we anticipated that we saved the $2.9 million in operating expense synergies on an annualized run rate. And as I already mentioned at the close of Q3 2012, we were on a run rate of approximately $900,000 ahead of that expectation, and we expect these savings to flow-through to our bottom line throughout Q4 2012 and beyond. Additionally, cash expenditures for our direct marketing and bundled downloads for our Appbar distribution has declined significantly since the Vertro merger in March 2012.
 So for example, in the 3 months ended June 30, 2012, we spent $6.4 million compared to $5.8 million in the 3 months ended September 30, 2012 and that’s while we’re growing the revenue.
 So let me turn the call over to Wally, our Chief Financial Officer, who will provide greater detail on our financial results. Wally? 
Wally Ruiz: Thank you, Peter. We are pleased with the financial achievements that we have made and the overall direction in which the company is headed. Current forecasts lead us to believe we will continue to grow throughout the fourth quarter and beyond.
 Effective with the third quarter reporting, we have realigned our business segments into 2 segments; Software Search and Publisher Network, rather than the former 3 segments which included Partner Program. We merged the Partner Program -- the Partner Program segment into the other 2 segments.
 Net revenues for the 3 months ended September 30, 2012 were $15.5 million, up 89% compared to the 3 months ended September 30 of last year. Gross profit increased 145% to $8.5 million in the 3 months ended September 30, 2012 compared to the same period of last year. These increases were due entirely to the Company’s Software Search segment as a result of the merger with Vertro. Net revenue from the Software Search segment was $7.9 million or 50.9% of total revenues. This segment is mainly from the merger with Vertro.
 Revenue from the Publisher Network segment decreased by 6.7% to $7.6 million for the 3 months ended September 30, 2012 compared to the same period of 2011. This decrease was due to a decline in the number of transactions driven through both our owned and operated websites and through third-party affiliates using the ValidClick platform, as well as to a $170,000 reserve we booked as a charge to revenue for an anticipated charge-back.
 Revenue from the Publisher Network segment is dramatically improving since the merger with Vertro due to the launching of the owned and operating website, Local.alot and to the restructuring of ValidClick with a focus on smaller publishers. Revenue improved $2.2 million or 40% from the second quarter of this year.
 The company reported a net loss of $1.3 million, or $0.06 per share, for the 3 months ended September 30, 2012, compared to a net loss of $1.4 million, or $0.14 per share, for the corresponding period of last year. EBITDA adjusted for stock compensation expense and merger costs was over $1 million in the quarter that ended September 30, 2012 that compares to an adjusted EBITDA of $88,000 in the same quarter of last year, and an adjusted EBITDA of $204,000 in the immediate preceding quarter of this year, that is the quarter that was ending June 30, 2012.
 In the 9 months ended September 30, 2012, net revenues increased 27% to $37.1 million compared to the same period of 2011. Gross profit increased by 45% to $18.9 million in the 9 months ended September 30, 2012 compared to the same period of 2011. These increases were due to revenue from the Software Search segment as a result of the merger with Vertro.
 Net revenues from the Software Search segment were $17.7 million for the 9 months ended September 30, 2012, accounting for 47.7% of the total revenues for that period. Net revenue from the Publisher Network segment were $19.4 million for the 9 months ended September 30, 2012, accounting for 52.3% of total revenues for that period and a decrease of 33.4% compared to the same 9 months period of 2011. This was due to the same reason as I described earlier for the 3 month period, and that is a decline in the number of transactions driven through our owned and operated websites and through third-party affiliates using the ValidClick platform,
 The company reported a net loss for the 9 month period ended September 30, 2012, of $6.2 million, or $0.30 per share, compared to $4.6 million or $0.50 per share for the same period in last year. Adjusted EBITDA was approximately $1.5 million in the 9 months ended September 30, 2012, and that compares to a negative adjusted EBITDA of $44,000 in the same period last year.
 Turning to the balance sheet, cash and cash equivalents totaled $3.2 million at September 30, 2012 and that compares to $4,000 at the end of December 2011. Bank debt was approximately $7.9 million compared to $2.9 million at the end of December 2011. While we were burning cash during the first half of this year, we are now generating cash from operations.
 With that, I’d like to turn it back to Peter for closing remarks. 
Peter Corrao: Thanks, Wally. So management remains excited with the prospects that lay ahead both in the fourth quarter and beyond. We look forward to providing additional information on our operational and financial achievements as they materialize, and we firmly believe that Inuvo is poised for top line growth throughout Q4 as we leverage our key strategic relationships.
 Moving forward in our Publisher Network, we anticipate continued growth from new publishers. We are working to expand our relationships with several partners to enhance our browser add-on while adding other mobile or desktop apps.
 On the Software Search side of our business, we expect to continue to optimize our buying to improve our Tier mix to the higher revenue higher, margin producing Tier 1 users located in the U.S. and our other English speaking countries, and to continue to explore new niches for our direct marketing to enhance our product offering and our revenue generation.
 Lastly, we remain focused on continuing to optimize our direct marketing campaigns. So on behalf of the entire team at Inuvo, I’d like to thank you all for joining us on the call today. We look forward to providing even greater success in future quarters as we strive to increase more shareholder value.
 Now all of us here are available for any questions. Operator, let me turn it back over to you. 
Operator: [Operator Instructions] Our first question is from the line of Ryan Bergan with Craig-Hallum. 
Ryan Bergan: Just want to address, Peter, I assume it was, I recall last quarter you talked about Q3 saying double-digit revenue growth sequentially and even in the Q4, if I recall probably your conversation was similar. But now you’re just referring to just overall growth in sequentially Q4, but not necessarily up double-digits. Can you address maybe more specifically what kind of growth projections you’re thinking sequentially for Q4? 
Peter Corrao: Yes, we’re trying to stay away Ryan, from continued guidance. Having said that, we had a fabulous October that’s already in the book, and we sort of feel like the same sort of trajectory we’ve got ahead of us. But we had really a banged up quarter, we came in at almost 21% quarter-over-quarter growth. I hate to give guidance like that come in 15% and have a big disappointment, so we’re not backing off on what we said back in March, April, May which this quarter-on-quarter double-digit. But I don’t want to get people confused that we’re forecasting 20.1% or greater quarter-on-quarter growth and then end up with a disappointment off of that.  Further, not on the revenue side but the increase -- or the decrease that we’re seeing in our expenses. So on the OpEx line the $900,000. We still continue to see improvement in that, meaning we’re getting better not worse on our OpEx costs. And then of course the big numbers on the cost side are what I talked about in the direct marketing. We’re spending -- in fact, by the way I forgot to tell that Richard Haydock or Doc, our Direct Marketing Expert and also FP and AVP is here with us too. But imagine we’re saving, what is it, $5,000, $6,000 a month and still getting the same output that we were getting 6 or 7 months ago. So that’s a big, big deal for us. So we’re not backing off of that guidance. I just don’t want our audience to be disappointed if we don’t hit it out of the park with another 21% increase. 
Ryan Bergan: Okay, that’s clear.  And then I want to address something that Wally said. You ended the quarter with $2.2 million cash, you had $7.9 million of bank debt, yet you said that you were not burning cash, to me that indicates that you burned cash slightly in the quarter. Was that commentary more into Q4 already or what you’re thinking for the end of Q4 or maybe you can clarify on that? 
Wally Ruiz: Sure. We have been burning cash in the first half of the year and it started to turn around this summer. And we saw the first turnaround in late August. So yes, part of it -- we were burning cash part of the third quarter and then in later part of the third quarter, it has turned around and we started providing cash. 
Ryan Bergan: Okay, that’s helpful. And what do you think your headcount for end of year, is it still pretty stable where it’s been or do you expect to see any uptick in hiring? 
Wally Ruiz: I am sorry, stable in terms of what? 
Ryan Bergan: In the hiring, do you see hiring to be stable for year-end projections or do you think it would be… 
Peter Corrao: Yes, I think we’re still -- I don’t have that right in front of me. I think we’re still at 43 or 44 people right now, 45 people right now. And we may be looking at losing one or 2 and gaining one or 2, but there is no -- into fourth quarter and first quarter, there is no, a substantial or meaningful increase in hiring that we’re planning, Ryan. 
Ryan Bergan: Okay. And then lastly for me, I think your Google contract is up at the end of this year. Have you started to reengage Google on those contract talks and what’s the status of that? 
Peter Corrao: Right, so our contract is up December 31 for January 1 start. Doc and I have been engaged with our Google contacts. And are comfortable that we’ll roll from this contract right through into another similar contract for 2013 and 2014. 
Operator: Our next question is from the line of Joel Achramowicz with Merriman Capital. 
Joel Achramowicz: Well I was interested to know, I mean and also Doc, just you were talking about contract renewals, I mean, you’re generating -- it’s a ramping business here in a sense for Google. So it was assumed that it would be straight forward that they would want to renew a contract because your business is growing. Is that logical or I am off base there? 
Peter Corrao: No, I think -- my sense is the reason, Ryan, and others asked the questions because we’ve got, I don’t know, the new co 35%, 40% something like that concentration in Google, Joel. So of course anybody would be concerned that we could go ahead and contract with Google. But we’re on our third, I believe 2-year contract with Google. Each contract has been similar to the last. There hasn’t been, that I could recall any sort of monumental changes in spite of the basic terms in them. And yet, Google continues to work with us and their other partners constantly updating their policies and their various procedures which we keep up with 100% during the quarter period. That’s number one. Number two, Google went through -- maybe a year ago, I guess Doc, probably their biggest changes with their partners that I can recall anyways, when they altered their search engine results page design, that had a big impact on us in what, 2011, I want to think that? 
Unknown Executive: Yes. 
Peter Corrao: In 2011. And so I guess others would be considered that maybe there was something like that coming. Interesting, Doc and I just recently have been meeting with our Google partners and like I said they’re great partners to us.  We anticipate that the contract will simply -- it will be a new contract, but they’re going to roll over into another 2 year agreement like we’ve gotten, off will go to the races. So I don’t anticipate any big changes in it. 
Joel Achramowicz: Can you let us know when that, either with a press release or whatever that that’s been concluded? 
Peter Corrao: Of course, but you know what, it won’t speak -- if I think about it within the last 3 by the way, it will be concluded December 31 for new start on January 1. 
Joel Achramowicz: The day before, okay. 
Peter Corrao: Well I mean we work with them until then, but the new agreement will actually run concurrently. They won’t supersede this agreement with the new ones. 
Joel Achramowicz: Okay, very good. I don’t know, I got on late in the call. Did you mentioned how many certified search -- software search users are now on the site? 
Peter Corrao: We didn’t, and the reason we didn’t, is because I didn’t want to have any sort of a disappointment. So we talked about search is being up. So our actual search queries are up and that question I guess gives me a chance to talk about this for just a second. So here we are in a quarter where our search queries are up dramatically. Our revenues are up dramatically quarter-on-quarter actually over 20%. And yet, the reason we didn’t publish the actual, we call live users, Joel, is because we’ve so changed our mix since March and April when we got the companies together that we’re actually holding about flat to the last reporting period.  So the last reporting period for us was last month, not last quarter. We were about 7.5 million or 7.6 million I believe, and we’re just about that number right now. The difference is that we’re driving way more revenue out of that because the base has a higher percentage -- and I am going to let Doc talk about this is in a second, almost daily of Tier 1 users which have good margins and higher monetization than do our Tiers 2, 3 and 4. So for the moment, I want to get off of this march toward 10 million live users and stay where we are which is this march for higher quality users, higher monetizing users, higher margin users. But my guess is we’ll stay in the 7.5 million to 8.0 million, 8.5 million range between now and the end of the year but continue very much to ramp revenue.  So Doc, you want to talk about that for a minute, the mix change, what we’re doing? 
Unknown Executive: Sure. So I mean our strategy is always been to target the best ROI percentage that we can, and traditionally in the last couple of years, we’ve had some good international success which tend to be lower margin dollars, but we were enjoying the same margin percentages. More recently in this year, we’ve had some good success with our U.S. users who were kind of in for the higher price but also monetized at a higher rate, so we’ve been focusing on acquiring and monetizing those users. 
Joel Achramowicz: Very good. So that’s encouraging, I know that your users -- your more regular users are more active that’s resulting in more revenue to the firm? 
Unknown Executive: Yes, by concentrating on those users. 
Joel Achramowicz: Wally, you expect to be -- it sounds like you expect to be EBITDA positive going forward now, certainly into the fourth quarter? 
Wally Ruiz: Absolutely. 
Joel Achramowicz: Yes, that’s good. Did you talk at all about progress with BargainSearch and we’re really excited about that site. I mean I know you had talked about working on potential pilots and maybe working towards the deployment eventually, any thoughts on that or color? 
Peter Corrao: Yes, I think you’re referring to our BargainMatch site. 
Joel Achramowicz: The BargainMatch, yes. 
Peter Corrao: Yes. We’re excited about it. BargainMatch has been launched now for a couple of months and kind of the new version of BargainMatch, I hope that would be up today so we could announce it today. And we’re perhaps maybe, Doc, a day or 2 off would be all right. So probably tomorrow or at the latest Monday we’ll have a press release out Joel, about our latest and most exciting new version with lots of incremental features on BargainMatch. And in terms of expecting incremental and increase in ramped revenue from it, that we would be expecting that once we get this new version out, I guess there tomorrow the next day. I am sorry, we wouldn’t actually release it on Friday, it will be Monday because we wouldn’t do a release on Friday.  So it will probably be Monday when we get it out, and we’re real excited about that. And I did talk about it in my script that we were looking forward to BargainMatch incremental revenues going off into Q4 and beyond. The other thing, it occurred to me just now that you’ve said, that Wally and I didn’t talk about adjusted EBITDA increases. But I don’t want to trick anybody, we fully expect that adjusted EBITDA is going to continue to increase off of our Q3 run rate.  Frankly, we’re so excited about what’s going on with revenue and margins. I think we just didn’t put that specifically in the script. And we’re trying to get away from really clear numeric guidance. But we definitely plan on adjusted EBITDA being better in Q4 than we do -- than it was in Q3, and we’re pretty darn excited about what we delivered in Q3. 
Joel Achramowicz: And you’ll be -- certainly with BargainMatch you’ll be -- you’re trying to seed your current user base with that, I mean that’s a pretty powerful application right, so you think that they’ll be a great test group to test it out with? 
Peter Corrao: It will be a very good group, and today, well today -- the recent BargainMatch application is out Joel, is during the last couple of months that we’ve been with this latest version and the new exciting version that we’ve got going. We’ve put no incremental revenue into growing the base. All of our distribution for BargainMatch just come from our standard distribution that Doc does every day with trying to get downloads for the Appbar and the homepage products. So I don’t know, I don’t remember what we were doing but I think the numbers were probably getting -- what are we getting Doc, per day in downloads? 6,000 to 8,000 a day something like that, maybe 10,000 and some days, absolutely for free.  And I can also tell you that we’ll be talking shortly probably inside of the press release that we come out, but our attrition with BargainMatch users is fantastic. I mean the BargainMatch user that keeps us does not churn with us. They tend to hang on with the products and become very active users. So as the models today for most of our products is a high churn model, but we download so many on a daily basis that we keep them and then the ones that we hang on to after 30 days after most have attritted, is where we make our money.  The BargainMatch model is a whole different story in that most do not attrite. And at the end of 30 days we still have the majority of our consumers to download the product with us and a high majority of them are using it and actually running money into their bank account. So it’s an exciting new adventure for us, the one that we’re excited about. As we’re excited about international expansion for Local.alot.  We think that can be a big deal for us as well. So all of our owned and operated sites are doing well right now, and they are a big part of the contribution towards why we’re doing so much better on the revenue line. 
Operator: Our next question is from the line of John Gilliam with Point Clear Strategic Capital. 
John Gilliam: The user base for the ALOT Appbar, you mentioned that we’re holding steady in the 7.5 million, 7.6 million user range. Can you give us an idea of the number of Tier 1 users that represent? 
Peter Corrao: Yes, let me let Doc -- generally it’s about half, but it’s been growing. So let me let, Doc, give you some more specific color than I am able to do John. 
Unknown Executive: So John, as we said in the last, I guess year or prior to that we started having more success in some international market by Brazil and France that we’ve mentioned before. And then more recently we’ve been focusing on primarily Tier 1, primarily the U.S., the split has gone from more like 40/60, 40 being Tier 1, 60 being the other Tiers. So moving closer to a real 50/50. But that’s continuing to change in favor of the Tier 1 users. 
Peter Corrao: And then Doc, just to tie onto it, so we can give John some more color. In terms of your daily distribution, we don’t tell exactly what we download. But this audience knows it’s approximately in the range of that 100,000 a day range. Of that, what percentage that you’d be downloading today and tomorrow would be Tier 1 and what percentage would be the other 3 tiers? 
John Gilliam: And so it’s going to be a similar split. 
Peter Corrao: Yes. 
John Gilliam: Sort of similar change from prior. So the number of -- the dollar spent is much more heavily weighted towards Tier 1, just because of the price, but in terms of the actual number of it’s closer to the kind of the 50/50? 
Peter Corrao: Right so, that’s the reason I added to your question John, was we’re buying already, Doc is already a month into buying Q4 distribution there. So things would have to change pretty dramatically off of the path we’re on for us not to continue buying heavily against Tier 1 and little lighter against the other 3. And of course the reason we’re doing that is we’re getting a better margin there. So we’re doing it because we can, and it’s the big reason -- I don’t want there to be any disappointment about our march towards 10 million because we would rather be marching in place or growing a little slower and have better margins that we would of the 10 million with lower monetization and lower margins. That’s proven out for us to be just that way. 
John Gilliam: Yes, and I mean and all of the things being equal given what you shared with us about the recent, beginning of offering the BargainMatch Browser Extension App. As part of that process given that those merchants in BargainMatch are U.S. base, entities it would seem that you were focused heavily on the U.S. distribution. 
Peter Corrao: It’s vastly in the Holland [ph]. 
John Gilliam: Right, [indiscernible] over the next 30 to 60 days but that is kind of seems like a no-brainer and that’s growing, that’s fantastic and well. Can you give us a little more color on the - what kind of success you’re having there with the BargainMatch Browser Extension App or are you -- how many daily… 
Peter Corrao: John, we’re comparing and remember I’ve got this new launch coming out here probably Monday.  So why don’t you let us get that out and then we’d be happy to answer question again, because I hate to give bad days data now and we’re only 3 or 4 days from a pretty big release for us with the new product, right? 
John Gilliam: Got it. And Peter, am I understanding correctly, is that an update of the BargainMatch website or is it a different version of that browser extension? 
Peter Corrao: It’s mostly an update of the website, but it includes some additional features and functionality to the browser, I mean to the app itself as well. 
John Gilliam: Interesting, okay. And did I hear that correctly the figures that you gave, you’re essentially just -- you’re offering at BargainMatch Browser Extension and you’ve been getting somewhere in the 6,000 to 10,000 downloads per day, that’s just a part of that existing spend for the alOt Appbar. Is that correct? 
Peter Corrao: Actually I think you’ve done it the same way. No, so but let me just restate it, that Doc spend his money per day.  And as part of that money, our existing Appbar participants are also taking the BargainMatch products. We’re not spending any incremental dollars today, we’re happy to do it in the future. But today we’re not spending any incremental dollars for the consumer to take the product, they are accepting it and we’re having really good luck with them not attritting.  So frankly as soon as we get a better hand on what our lifetime value is for the BargainMatch product, Doc will be definitely and his team will be buying incrementally to get separate downloads for just that product alone. But for now we’re getting 6,000 to 10,000 today at no incremental charge to the company at all. 
John Gilliam: That’s fantastic. So do you anticipate maybe after Q4, you’re starting to report the number of BargainMatch users in the same way that you do with Appbar users? 
Peter Corrao: Well we’ll come up with a number for them John, but it probably won’t be the same method. Remember we used that trailing 15-day without counting uniques. I don’t know if that’s the right method to count, but we’ll certainly come up with a common method to count BargainMatch users and their growth. And we’ll also I would think probably after the holidays, Doc have a good sense for [indiscernible] most Ohioans would be, I mean what does it costs us to get a BargainMatch user. What are we getting in return for them? What percentage of the return is coming from affiliate fees from the 2,600 or 2,800 partners that we’ve got in it? What percentage is coming from display advertising? What percentage is coming from search? We should have all of that figured out certainly by the end of the quarter. 
Operator: And our next question is from the line of Andrew D’Silva with Merriman Capital. 
Andrew D'Silva: Just really quickly, just again about the user base. Have you guys seen the churn rates kind of slow down a little bit or have the users got more sticky in the sense since the merger, and then again just over the last couple of quarters? 
Peter Corrao: It’s a good question. I’ll let Doc answer that. 
Unknown Executive: So as for the total user base, that would be accurate, but it’s mainly due to mix. So just traditionally on to the Tier 1 users that we’ve been talking about traditionally have better attrition which is why their value is greater as well. So in terms of within each of the tiers, the attrition is similar to what it’s been in the past. But that mix shift towards the entire value Tier 1 for the whole group means that the attrition is generally better for the whole group, but it is primarily due to the mix as opposed to specific into the group. 
Andrew D'Silva: That’s good to hear. And then again with the BargainMatch application, have you seen somewhat strong -- your correlation between everybody that adopts the BargainMatch application who adopts ALOT platform homepage, I mean is there a fairly strong correlation for each new user on each or is it just a lot more ALOT homepage right now? If you could kind of give some color on that. 
Unknown Executive: So they are not mutually exclusively. So you can take both, so were you asking whether we see a similar take up rate between the 2? 
Andrew D'Silva: Yes, even the BargainMatch application kind of advertised and initial launch of the ALOT homepage platform? 
Unknown Executive: It’s done as part of the download of the Appbar and its part of that as well where the home page is set. I think the homepage has a higher acceptance rate than the BargainMatch app. but having said that the BargainMatch app has a really strong acceptance rate, one that we are really pleased with but the homepage generally has a better -- still has a better acceptance rate than the BargainMatch app. 
Operator: [Operator Instructions] And we have no further questions at this time. I’ll turn it back to management for any closing remarks. 
Peter Corrao: All right. Well listen, this is Peter again. Thanks everybody for joining us on our call today. As we said in our prepared remarks, we’re really excited about what we were able to deliver in Q3. We’re even more excited about what we’ve got coming in Q4 and beyond. So stay tuned and be looking for our release here in the next several business days anyways regarding our new and improved BargainMatch product. Thanks for joining us everybody and I’ll talk to you again next quarter. 
Operator: Ladies and gentlemen, this concludes the Inuvo, Inc., Third Quarter 2012 Conference call. Thank you for your participation. You may now disconnect.